Operator: Greetings and welcome to the Pioneer Power First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brett Maas of Hayden Invest Relations. Thank you, you may begin.
Brett Maas: Thank you, operator. The call today will be hosted by Nathan Mazurek, Chairman and Chief Executive Officer; Walter Michalec, Chief Financial Officer; and Geo Murickan, President of Pioneer E-Mobility. Following this discussion, there will be a Q&A session open to participants on the call. We appreciate the opportunity to review the first quarter financial results and recent business highlights. Before we get started, let me remind you this call is being recorded and webcast. During this call, management may make forward-looking statements. These statements are based on current expectations and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to the cautionary text regarding forward-looking statements contained in the earnings release issued last Thursday, May 15, which applies to the content of the call. I'd like to now turn the call over to Nathan Mazurek, Chairman and CEO. Nathan, please go ahead.
Nathan Mazurek: Thank you, Brett. Good afternoon, and thank you all for joining us today. We are off to a strong start in 2025 with first quarter revenue more than doubling to $6.7 million. This growth is a clear reflection of the accelerating demand for our on-site power solutions and continued penetration of vertical markets for these solutions. Q1 revenue indeed validates the significant investments we have made to develop and expand the scope of our e-Boost solutions. The primary contributor to first quarter revenue was the initial completion of 10 e-Boost units to one of the largest public school districts in the United States. This order, which was announced in June of 2024 is for a total of 25 e-Boost mobile power units to charge the school district's first 200 electric school buses. Specifically, this order was a landmark order for Pioneer and represents the largest RFP ever administered and awarded for a mobile EV charging system. The balance of the 25 units are scheduled to be completed and delivered in the current quarter. The project was awarded after a short and intense competitive bidding process. At the time, we made the strategic decision to compete for the project at a highly competitive price in order to secure a marquee customer and prove the value of our technology at scale. As a result, our gross margins in Q1 reflected the early cost dynamic of such a large and complicated project. The first units that we developed and produced carried higher costs as we refined our processes and optimized production workflows. As we continue to execute on this order, we see improved efficiencies and benefits. We remain confident that the succeeding units will result in a better gross margin contribution for Pioneer in Q2. At the end of the first quarter, our total backlog was $23.2 million, an increase of 18% compared to the prior quarter. In addition to these current orders, our sales pipeline of potential new opportunities continues to expand. We are in active discussions with dozens of municipalities, transit authorities, shipping ports and with several major national package delivery providers who have already committed to a multiyear electrical vehicle phasing in with the ultimate objective of 100% fleet electrification. In most instances, these delivery operators have already made the decision to transition to an all-electric fleet but lack the requisite charging infrastructure. E-Boost offers an off-grid, immediately deployable mobile solution that does not rely on extensive permitting, grid upgrades or long lead times. Beyond our core e-Boost charging platform, we have developed a residential/light commercial power system announced in March of 2024, tentatively named HOMe-Boost. This new platform is a game-changing power solution that will revolutionize the way homeowners and small facility owners address energy resilience and fast charging. This cutting-edge product integrates a prime-rated natural gas engine with optional DC fast charging, providing the facility owner with the ability to generate at their option, 100% of their energy and charging needs 24 hours a day. With its exceptional efficiency, compact and futuristic design, HOMe-Boost is perfectly positioned to meet the evolving and ever-increasing power demand from the residential and light commercial energy market. We are essentially providing the large home and the facility owner with a private powerplant to operate independent of their grid connection or in tandem with such connection. Our confidence is burnished by the enthusiastic reception we've already seen from potential customers and channel partners and additionally, in the residential sector and additionally, the light commercial market from medical-related businesses like MRI, dialysis, cataract-type centers to commercial bakeries and cement producers, where power needs and fast EV charging are critical and increased and reliable grid power availability is somewhat restricted. As we prepare for a dynamic launch in the second half of this year, we're confident that HOMe-Boost will be a major driver of growth and innovation for our company in 2026 and beyond. With that, I will turn the call over to Walter.
Walter Michalec: Thank you, Nathan, and good afternoon, everyone. Please be advised that we have included a non-GAAP financial measure of operating loss from continuing operations, which excludes corporate overhead expenses, research and development costs and nonrecurring professional fees. Please refer to our press release issued on Thursday, May 15, for further information, including a reconciliation between GAAP and non-GAAP financial measures. The press release can be found on our website at www.pioneerpowersolutions.com/investors/newsroom. Such non-GAAP measures should not be used as a substitute or alternative to any measure of financial performance calculated and presented in accordance with US GAAP. Instead, we believe this non-GAAP measure should be used to supplement our financial measures derived in accordance with US GAAP in order to provide a more complete understanding of the trends affecting the business. First quarter revenue was $6.7 million compared to $3.3 million in the year-ago quarter, an increase of 103%. The increase was primarily due to a significant increase in sales and rentals of our suite of mobile EV charging solutions, e-Boost. First quarter gross profit was $148,000 or a gross margin of approximately 2% compared to gross profit of $535,000 or a 16% gross margin in the first quarter of last year. The decrease is primarily due to what Nathan alluded to earlier regarding the completion of the initial 10 units from the large 25-unit order we received in June of 2024. The first unit that we deployed and produced carried higher costs as we refined our processes and optimize production workflows. As we continue to execute on this order, we will see improved production efficiencies. We remain confident that the remaining units will result in more positive gross margin contributions for Pioneer. During the first quarter of 2025, Pioneer incurred an operating loss from continuing operations of $2.3 million compared to an operating loss from continuing operations of $1.7 million in the first quarter of last year. The variance was primarily due to the decrease in our gross profit and an increase in selling, general and administrative expense. During the first quarter of 2025, Pioneer generated a non-GAAP operating loss from continuing operations of $989,000, which again excludes corporate overhead expenses, R&D expense and nonrecurring professional fees as compared to a non-GAAP operating loss from continuing operations of $319,000 for the same quarter in 2024. Net loss from continuing operations for the first quarter of 2025 was $2.1 million compared to a net loss from continuing operations of $1.7 million during the first quarter of 2024. Taking a look at our balance sheet. As of March 31, 2025, we had cash on hand of $25.8 million, 0 bank debt and working capital of $26.2 million compared to $41.6 million of cash on hand, zero bank debt and working capital of $26.7 million as of December 31, 2024. The cash on hand as of March 31, 2025, represents cash per share of approximately $2.32. The decrease in our cash on hand during the first quarter is primarily due to the payment of a onetime special cash dividend of an aggregate of $16.7 million on January 7, 2025. Today, we are reaffirming our guidance for revenue of $27 million to $29 million for the full year of 2025. This concludes my remarks. I will now turn the call back over to Nathan for any questions.
Nathan Mazurek: Operator, you can open the lines for questions, if you may -- if you will.
Operator: [Operator Instructions] First question is from Rob Brown from Lake Street Capital Markets. Please go ahead.
Rob Brown: Good afternoon.
Nathan Mazurek: Good afternoon, Rob.
Rob Brown: On the margin in the quarter, I understand the start-up kind of margin issue. How do you see margins recovering? And as this sort of goes forward, where do you think you can get the margins to for this product line?
Nathan Mazurek: Yes. So, I mean, the last quarter was more indicative of where that's what we shoot for and that's what we get on the -- especially the e-Boost product, it's a super high-value integrated special product. On this particular job, when you start, and it's on me at the end, when you start with a lower sales price, that's -- only perfect execution will give you any kind of good contribution, less-than-perfect execution starts to hurt worse. So I think that the second half of the year, where we're not so overwhelmed by all these units, 25 units is a lot. I don't know of any other RFP -- I don't know of any other award that size for this type of the system. They've recovered already for the second quarter. They're not going to be the outsized or outstanding margins that we produced in the fourth quarter, but at least they'll be making better contributions. And as the other products in the third quarter and fourth -- the other projects really, same product, but the other jobs that we're doing come through in the third and fourth quarter so the margin should recover to something similar to the fourth of last year.
Rob Brown: Okay. Great explanation. Thank you. And then on the, I guess, e-Boost pipeline, in particular, I think you said dozens of quotes and activity. But how do you kind of characterize that as these come in? Is that really building for 2026 revenue? And when do you sort of need to close those to get into '26 bookings?
Nathan Mazurek: Yeah. Probably by the end of June. It's a little bit arbitrary, but something like that, then we're really just talking about '26 afterwards. Of course, there are exceptions. We happen to have everything in stock, and it's on the smaller size and so forth, less customization and so forth and so on, but those also don't produce the same revenue that the larger units do. So, the end of June is kind of a reasonable cutoff. After that, everything is '26 oriented.
Rob Brown: Okay. Good. And then HOMe-Boost, I think you talked about a fair amount of progress on the channel and the product interest. But how is the pipeline shaping up there? And are you kind of able to receive orders? Or is that product still not -- still launching in the back half, and that's when you'll start to see the order flow?
Nathan Mazurek: Yeah, it's still launching in the back half. We just -- and it's all on me too. We redesigned its look, its mechanical fit and form, its colors, even internally did a lot to eliminate the excessive cost that we think we could do without -- at the same time, it's a premium product. So we wanted to really be that premium product, not just in look but in function for the user. So, I think we're essentially complete. We're pushing internally. Everybody is gearing up for a very, very strong and dynamic launch second half of the year. As we've said on other calls, but it bears repeating, none -- HOMe-Boost doesn't factor into any of the guidance that we gave for '25. We're hoping to be successful from an order rate in the second half of '25 only with delivery into '26. So none of the guidance is impacted by its rollout for '25.
Rob Brown: Okay, great. Congratulations on the progress. I’ll turn it over.
Nathan Mazurek: Thank you, Rob.
Operator: [Operator Instructions] Next question here is from [indiscernible], a private investor. Please go ahead.
Unidentified Analyst: Good afternoon, and thanks for taking my question. My questions were, of course, about the margins and you answered those. Thanks for that. About HOMe-Boost, would you -- would that be suitable for people with solar panels for them to be able to completely disconnect from the grid?
Nathan Mazurek: If they chose to do that, whether they have solar panels or not, they would be able to go on island mode, they'd be able to disconnect if that's what they wanted to do. It has the logic and the control to move loads back and forth between this unit and the utility feed that the person might be getting. But if they wanted to go on to island mode, yes, they can go off the grid completely as long as they have a natural gas connection.
Unidentified Analyst: But would it be able to kind of do the, I guess, the variable production that's required for solar panels, the fact that solar panels will kind of drop off in the evenings and so on. Will it be able to intermittently start and stop?
Nathan Mazurek: It can intermittently start and stop, yes.
Unidentified Analyst: All right. And I wanted to ask you, and this is an argument I've been having with my investors about your company, and it's a bit of a devil's advocate argument in that one may say that your -- that e-Boost is kind of like a temporary solution for people to -- that cannot yet connect to the grid and that nobody moves to electric just so they can generate electricity through a propane engine. And how do you view this? Like how long will this market last? I mean I know you're doing great right now. Does it have legs?
Nathan Mazurek: Yeah. So that is the ultimate question. So there's two parts to it. One is that this grid gap or this period of time, which people three years ago thought won't be more than three years is going into -- I can't see it stopping for the next five years. It just keeps growing because of the difficulty that businesses are having in getting these kinds of connections. They've also seen the value as more -- as we put more units out there, more school districts, more municipalities, they see the value and the optionality of mobility. And they look at it is that why am I spending all this money on fixed infrastructure when I can have a mobile solution for essentially the same price and then have the optionality of moving it, not moving it. If I lease the facility, I can still take it with me and things like that. In addition, is even if somebody can get a connection, and that's what the school district that we're delivering right now, their issue, and they're a major city and you would think that the utility is kowtowing to a major -- one of the country's largest cities is that they can't get enough power even if they had a connection. They don't want to just trickle charge their buses then they're having buses sit for 40 hours to recharge themselves. That's not tenable -- that's not a solution for them, their utilization rate plummets. So, for them to fast charge as many buses as they want as quickly as they can, in the case of this particular system, they're doing eight buses at a time. We have eight chargers hanging off the trailer with our really large unit producing power on a mobile off-grid way. So they're not beholden to the utility at all. I don't know if that answers it for you, but that's the reality that we're finding.
Unidentified Analyst: Okay. Yeah, that does answer it. And just to be clear, I think I know the answer to that, but I want you on the record. I mean even if they do have your solution that does have an internal combustion engine, there's still significant savings compared to diesel, right? I mean natural gas is just cheaper in terms of energy per dollar.
Nathan Mazurek: It's -- we never -- I'm going to say never because rarely, we never get it compared to diesel really. It's compared to what -- if we had a connection to the grid, what would it be, and this is still much cheaper. Gas is producing your own power on site. I mean there's no transmission charges. There's no delivery charge of the power, is for sure cheaper. Those that are coming up with this solution, diesel defeats any kind of purpose, meaning if I spent the money to have an electric bus or a van to reduce emissions, it's kind of optically and realistically a little hypocritical to use diesel to charge it.
Unidentified Analyst: Well, what I meant is that it's cheaper than having diesel trucks and putting diesel in the trucks.
Nathan Mazurek: Yeah, it's Cheaper than having diesel trucks. That's correct, by far.
Unidentified Analyst: And diesel and diesel buses and so on.
Nathan Mazurek: Correct. You are 100% correct. Yes. Thank you for clarifying.
Unidentified Analyst: You’ve answered all my questions and good luck.
Nathan Mazurek: Thank you.
Operator: Next question is from [indiscernible], a private investor. Please go ahead.
Unidentified Analyst: Good afternoon, and congrats on the excellent progress. I have two questions. One is on the distribution network. I mean it's -- to me, it's impressive on these large orders you've gotten so quickly out of the box with the new product. It means that you've got credibility established. And your distribution, it seems like it's multilayered with distributors and other people outside the company working with it. Can you talk a little bit about how you see that growing and how you see that changing when you get the HOMe-Boost out there as well?
Nathan Mazurek: Yeah. So, thank you, Howard. That's true. I mean we evolved as well. I mean it's -- I don't want to say it's impossible, but it's close impossible for us to cover everything with our sales force. So we would never see the city of X on our own. We just don't have enough personnel out there. So we use a lot of channel partners/distributors that act as the feet on the street. We do a lot of things directly as well. When it comes specifically to municipalities and states and things like that, we use a variety of distributors. Sometimes it's the bus dealers, the truck dealers themselves with corporates' approval and confidence in what -- in the solutions that they're offering. It helps them move more electric trucks and buses. In the case of the investor-owned businesses, that's so far to date a more direct approach. We need probably -- we have some intermediaries. We need more intermediaries and channel partners who are doing, I don't even know if there's a real name for what they're doing, energy development or things like that, charging development, integrators, one-stop solutions, turnkey people and so forth. We need more of them because it's impossible -- I mean unless we hire 100 people to work all day, all night, we can't see everything. On the home thing, that's a little bit of a work in progress. I have some ideas. Our team has some ideas of how best. We've sort of already tested the product from a marketing point of view with these different types of -- I don't want to reveal too much distributors and dealers within that industry. But I think like the original HOMe-Boost product, the market is going to move us and shift us in ways that I can't anticipate right now from a distribution point of view.
Unidentified Analyst: Okay. Thanks. That's helpful. Then my second question is kind of looking into 2026, and I know it's early and you guys got a lot of stuff on your plate. But as you look, you've got this rapidly growing e-Boost product line out there. And then you're adding something that I would say has even more potential with HOMe-Boost, and you've got pinch points all along the process from manufacturing, management time, marketing sales, all of that. How do you see your focus in 2026? How big do you see HOMe-Boost being as a percentage of your attention or a percentage of your kind of your push in next year's efforts?
Nathan Mazurek: Yeah. So that's a great question. We're struggling with that all the time. So just to take some of it off the table, we've already -- because HOMe-Boost will only be in, call it -- in our minds, and again, it's arbitrary, four versions of it. So, it's a much more standard product than we're used to on the traditional e-Boost side. So we've already contracted sort of with another manufacturer close to us to make these for us initially at size and scale without duplicating, because otherwise, then we're just adding capital expenditures and so forth and so on. So that's kind of a little bit off the table, which is helpful to us at price points that we think are favorable for everybody to be able to bring this product out to market so we can really concentrate on the design engineering and the marketing and selling of this particular product. As far as management time, I would say that really starting now, it's occupying for me, for Walter, for Geo Murickan, it's occupying probably 50% of our mind space because we believe the same thing that you just highlighted. We believe it could be a far larger, even more profitable product for us. So, we're very excited. But the proof is always in the pudding. So we got to do the work.
Unidentified Analyst: Great. Thank you, and I appreciate you taking my question. Thanks.
Nathan Mazurek: Of course.
Operator: This concludes the question-and-answer session. I'd like to turn the floor back to management for any closing comments.
Nathan Mazurek: Thank you all for joining. Thank you all for your support, and we look forward to updating you all on our next earnings call. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.